Operator: Thank you for standing by, and welcome to the Onex Corporation's second quarter earnings results conference call. [Operator Instructions] As a reminder, today's program is being recorded. And now I'd like to introduce your host for today's program, Jill Homenuk, Shareholder Relations and Communications. Please go ahead.
Jill Homenuk: Thank you. Good morning, everyone, and thanks for joining us. We're broadcasting this call on our website. Hosting the call today are Bobby Le Blanc, Onex' Chief Executive Officer; and Chris Govan, our Chief Financial Officer. Earlier this morning, we issued our second quarter 2025 press release, MD&A and consolidated financial statements, which are available on the Shareholders section of our website and have also been filed on SEDAR. Our supplemental information package is also available on our website. As a reminder, all references to dollar amounts on this call are in U.S., unless otherwise stated. I must also point everyone to our webcast presentation for our usual disclaimer and cautionary factors relating to any forward-looking statements contained in today's presentation and remarks. With that, I'll now turn the call over to Bobby.
Robert M. Le Blanc: Good morning, everyone. Onex delivered a solid quarter in Q2. The focus on our firm-wide priorities of compounding NAV and increasing fee-related earnings is evident in our first half performance. While creating near-term value is foremost for our teams, we also remain active on identifying appropriate capital allocation strategies to drive long-term enterprise and shareholder value. Investing capital per share returned 4% in Q2, driven by gains in Private Equity and Credit. For the first half of the year, investing capital per share returned 7%. We continued to see growth in fee-generating AUM this quarter. So far in 2025, fee-generating AUM has increased by 16% with solid contributions from Structured Credit and our PE platforms. Turning now to Private Equity. After the completion of successful fundraises in each of OP and ONCAP earlier this year, the teams are now focused on driving performance within their portfolios, identifying new opportunities for investment and securing realizations to return capital to Onex and our investors. On the return of capital front, Onex Partners pending partial sale of WestJet to a consortium of 3 prominent global airlines has received positive feedback from our shareholders and LPs. The transaction, which is expected to close this year, will result in OP returning all of its original investment while still owning 75% of its original stake. When announced, the sale price represented more than a 40% premium to our Q1 mark, reflecting both the strategic nature of the transaction and WestJet's performance potential. We are pleased with the outcome, which we view as an endorsement of OP's demonstrated ability to create value in its core verticals independent of macro events. In July, ONCAP completed the sale of 80% of our stake in Precision Concepts. The transaction returned more than 3x ONCAP's initial investment over the 7.5-year hold period, demonstrating the team's ability to compound capital at high rates of return and once again validating ONCAP's differentiated subsector expertise. ONCAP continues to produce significant return of capital for investors, which in both 2023 and 2024 averaged over 20% of net asset value. Investing performance at both OP and ONCAP was good this quarter, with a combined return of 4%. Although it's still early days, the performance of the Onex Partners Opportunities Fund was a particular highlight. Overall, the [ PE ] performances are contributing to meaningful gains and unrealized carried interest. Since the end of the year, unrealized carried interest across PE has increased by 22% or nearly $60 million. Within Credit, the team had another impressive quarter, increasing both fee-generating assets and fee-related earnings. Since we reported our Q1 results, our structured credit team has executed another 7 transactions, bringing the total for the year to 17, including 7 new issues. In aggregate, the Credit team has raised $4.5 billion of new fee-generating assets and extended another $3.8 billion. Across the industry, CLO issuance has been strong amidst ongoing demand from global investors. Within this dynamic, Onex is continuing to gain market share. Building on our strong performance in recent years, we expect to again be a top 10 global CLO issuer in 2025. Onex Credit is now approaching $30 billion in assets under management. The team has done a nice job of continuing to scale our platform by offering differentiated products, strengthening its relationships with leading institutional investors and delivering strong risk-adjusted returns for our clients. I am pleased with the results the Onex team delivered in the first half of the year. Staying focused within our core strengths will lead to increased shareholder value. We also know that we need to be strategic and proactive in how we deploy our capital to build for the future. I'll now turn it over to Chris.
Christopher Allan Govan: Thanks, Bobby, and good morning, everyone. Onex ended Q2 with investing capital per share of $121.23, a return of 4% in the quarter and 7% for the first 6 months of 2025. These returns were driven by investing gains from Private Equity and Credit as well as accretive share repurchases. The 5-year CAGR on investing capital per share is 15%, in line with our target range. We repurchased 1.8 million shares in Q2 at prices meaningfully below hard NAV. Since the beginning of the year, we bought back 3.2 million shares allowing us to capture about CAD 215 million of hard NAV for continuing shareholders. We expect buybacks to remain part of our capital allocation plans so long as the disconnect between intrinsic value and share price persists. Now looking at our investing returns. Our PE portfolio returned 4% in the quarter with gains broad-based across the portfolio, with the largest contributions coming from Onex Partners V and ONCAP IV. As Bobby mentioned, the Onex Partners Opportunities Fund has experienced strong early results with an annualized return over 20%, driven by the strong performance at its first 2 investments. Our PE teams have continued to surface strong realizations at or above our marks. In May, Onex Partners announced the strategic sale of a 25% interest in WestJet to a consortium of airlines. And in July, ONCAP completed the sale of a majority interest in Precision Concepts International. These 2 transactions will provide Onex with approximately $145 million of net proceeds, adding to our strong liquidity position, which stood at $1.5 billion or 18% of investing capital at quarter end. Turning to the Credit results. Our Credit investments delivered a $33 million net gain or a 4% return in Q2. This was largely driven by gains in our structured credit strategies, including some favorable foreign exchange gains on the euro CLOs. On the asset management side of the business, Onex ended the quarter with $41 billion of fee-generating AUM with Private Equity and Credit increasing by approximately 20% and 14%, respectively, since year-end. The increases primarily reflect new commitments made to ONCAP V and the Onex Partners Opportunities Fund and the issuance of new CLOs. Within Credit, structured credit continued its strong start to the year, raising or extending over $7 billion in fee-generating assets through June 30. The team is currently in market with additional new issues in Europe and the U.S. and is on a pace similar to 2024, which was a record year for the platform. Onex Credit is well positioned to continue building on its leadership position in structured credit. As Bobby mentioned, including transactions priced in July, the Credit platform is nearing $30 billion in total AUM, an increase of 50% or roughly $10 billion since the end of 2023. This is a meaningful achievement and has been accomplished with relatively modest growth in the platform's operating costs and essentially no increase in the capital allocated from Onex' balance sheet. Looking at the asset management results. The segment generated earnings of $36 million in Q2, of which $6 million was fee-related earnings from the PE and Credit platforms. After factoring in the costs associated with managing Onex Corporation's capital and maintaining the public company, total FRE was a loss of $2 million in the quarter and breakeven for the first 6 months. Notably, FRE from structured credit increased $3 million sequentially to $15 million for Q2, reflecting an annual run rate FRE contribution of about $60 million, up roughly $7 million or 13% in the quarter. Finally, an update on Onex' incentive fee and carried interest opportunity. We ended Q2 with $346 million of accrued carry, which reflects $38 million accrued in the quarter. Onex now has almost $40 billion of Private Equity and Credit AUM subject to [ carry or ] incentive fees, providing a meaningful opportunity for value creation going forward. In summary, we've made considerable progress in the first half of '25 with our diverse investment portfolio and strong financial position serving us well in today's markets. We remain focused on compounding our investing capital, growing fee-related earnings and delivering returns to our shareholders and partners. That concludes the prepared remarks. We'll now be happy to take any questions.
Operator: [Operator Instructions] And our first question for today comes from the line of Graham Ryding from TD Securities.
Graham Ryding: Can I just confirm on the Credit side, it sounded like new fundraising was $4.5 billion and then over $7 billion in total, if you include extended CLOs -- extending CLOs, is that correct?
Robert M. Le Blanc: Chris, I think you're on mute.
Christopher Allan Govan: Sorry, I was on mute. Sorry. Yes, those are the amounts through the end of Q2. Bobby cited some total amounts that included some July activity, and that's more like total a little over $8 billion.
Graham Ryding: Okay. Understood. And then -- so maybe just what's the outlook for further fundraising in the second half of this year, the same pace? Or how is your pipeline looking?
Robert M. Le Blanc: On the Structured Credit side, the demand is still really high for CLOs. And again, we're also focused on growing some of our more subscale products that will have a differentiated impact on the bottom line. In other words, the more fee-generating AUM we get from our nonstructured products will have a disproportionate amount of impact on profitability. So I feel unless the market is dislocate, I don't expect the Credit team to slow down the pace that they're on right now.
Graham Ryding: Okay. And so that is -- you're seeing stronger demand this year than you expected coming out of 2024. Is that a fair characterization?
Robert M. Le Blanc: Yes. Well, especially if you would have asked me that question in January or February when the world was highly uncertain, it's really -- they've actually been able to do a really good job continuing to gain share and to get their product out there.
Graham Ryding: Great. And then just the outlook for FRE, with this AUM growth broke even for the first half of the year. What's the outlook for the second half on the FRE front overall?
Christopher Allan Govan: Yes. So overall, Graham, we're run rating right now just about breakeven overall. But we do have, as Bobby mentioned, fundraising plans for the back half of the year. And so I would expect that if we hit targets, that overall run rate for the entire business should get into double digits by the end of the year. As you know, we had a goal out of Investor Day to see the credit business as a whole run rate at about $55 million out of the back half -- at the back end of this year. So if we hit that target, then overall FRE should be around $10 million or so run rate.
Graham Ryding: Okay. Excellent. And then my last question, just what's the outlook here for -- on the PE side for further realizations? Maybe just some color on the market backdrop and how your pipeline looks on that front?
Robert M. Le Blanc: Yes. The M&A market has actually gotten better over the last 3 months. In spite of the continued uncertainty and noise around tariffs and other geopolitical issues, I do expect to be able to announce more realization in the back half of the year. I'm not going to give you sizes, but we have several things in process that, again, absent a strange dislocation in the near term should come to fruition.
Operator: This does conclude the question-and-answer session of today's program. I'd like to hand the program back to Bobby Le Blanc for any further remarks.
Robert M. Le Blanc: Thanks, everybody, for your time, and I hope you enjoy the rest of the summer, which seems to be flying by. And we look forward to catching up. If you've got any questions, feel free to reach out to me, Chris or Jill, and we'll get right back to you. Thanks.
Operator: Thank you, ladies and gentlemen, for your participation in today's conference. This does conclude the program. You may now disconnect. Good day.